Operator:
Bryan O'Hara: Good morning, and welcome to the Evolution Mining September 2017 quarterly conference call. This morning on the call we have Jake Klein, Executive Chairman; Mark Le Messurier, COO; Lawrie Conway, CFO and Finance Director; and Glen Masterman, VP Discovery and Chief Geologist who is dialing in from Adelaide. With the growth in Evolution in recent years, we’ve experienced a significant change in our register. While we’ve been pleased with the relatively smooth transition from small cap to large cap Australian fund managers post our inclusion in the ASX100 in March this year, we still see an opportunity to attract domestic funds who typically don’t invest in gold companies but appreciate the strength and sustainability of our business. During the September quarter, we’ve spent a considerable amount of time engaging with North American investors. We recognized that historically our register has been unrepresentative by offshore funds, but we focus on strengthening our relationships with US and Canadian investors who generally have a strong understanding of mining companies and access to large pools of capital. Our most recent register update confirmed we’re making good progress in this area but we still have plenty of work to do. I will now hand you over to Jake.
Jake Klein : Thanks, Bryan. Good morning and thanks everyone for joining us. Lots of things to be excited about in this quarterly but I want to talk to you about three key things. Firstly, record production, cash flow and margins. All-in sustaining costs of A$786 per ounce or US$620 per ounce undoubtedly sector leading. Evolution is now one of the lowest cost gold producers in the world and operating one of the best if not the best jurisdiction in the world. Importantly, given the quality of assets in our portfolio, we expect these results to be sustainable over the long-term. Secondly, our commitment to our core strategy of continually improving the quality of our portfolio, not being unfocused but being quality focused. We followed through on this again this quarter with the sale of Edna May. Without Edna May, we would have produced gold at an incredibly low all-in sustaining cost of US$548 per ounce. As a further point of reference, three years ago in September -- in the September 2014 quarter, we produced half the amount of gold at an all-in sustaining cost of US$1002 an ounce. So, there’s been a 45% reduction in all-in sustaining cost over the three years. In that same quarter three years ago, our operations generated A$17 million in net mine cash flow versus the A$158 million of net mine cash flow reported this quarter. And thirdly and finally, discovery is starting to warm up to provide some real sizzle and excitement. Glen will provide more detail but the groundwork that Glen and his team have been putting in place over the last 12 months is starting to show some great results. At Cowal, there is real excitement around the 130-meter intersection growing 1.2 grams per tonne especially as it was drilled outside of the currently defined E41 West resource area. Good intersections at Galway-Regal, Regal are also encouraging. And while it is still early days, we are clearly dealing with the significantly larger mineralized system that is exceeding our most optimistic expectations that we have when we acquired this outstanding asset 27 months ago. We have previously said that we need to build momentum in discovery at Mungari and then the results will come and that is what is happening. Drilling 14 targets in the quarter with many encouraging results clearly shows that we have a very important land package in a well-endowed perspective gold builds. Last week the Board of Directors visited Cracow in Mt. Rawdon. We left Cracow with a clear view that the very good results they are generating will add to the mine life that Cracow has consistently been able to sustain and Mt. Rawdon were left encouraged by the fact that in the six years evolution has owned the asset where we’ve been able to replace 96% of the ounces we have mined and the site team has a level of optimism and energy that the story of Mt. Rawdon and discovery has not yet been fully told. With that, I will handover to Mark.
Mark Le Messurier: Thanks. Starting with safety we reduced our three key safety measurements, the recordable and lost time injury rates and the serious incident rate. Cowal page 5, Cowal had a very good quarter producing over 70,000 ounces at an AISC of $712 an ounce. Cash flow was $53 million. Higher throughput rates and grade contributed to the outstanding results. We have changed lifter, line and grade design and we will find designs over the coming months. Sustained throughputs of plus 950 tones per ounce were achieved. In regards to Stage H expansion, the EPC contract was awarded in September for the Float Tails Leach Circuit. Feet movements for Stage H are on track as our cost. Production is forecast to be in line with guidance to this quarter. Mungari had a very solid start to the year in all areas. Underground open pit and mill physical is lining up well with plans. 25 kilometers of resource drilling was completed on top of 46 kilometers of exploration drilling. Frog's Leg and White Foil extensions and drilling results at Burgundy, Emu and Johnson's Rest were positive. Mt. Carlton on page 6, Mt. Carlton had an excellent quarter producing 30,000 ounces at AISC of $429. Grade was high as we are mining in an area over the pit that has had in the past higher than modelled grades. We have initiated feasibility studies for the underground mine and an increase to 920,000 tons per hour planned throughput -- per annum. Cash flow was $24 million. Mt. Rawdon, production was 21,000 ounces at AISC of $1,083. This quarter we will increase pit movements in waste in all areas and gold production will be higher. Cracow had a very good quarter as well with 23,000 ounces produced delivering $12 million of cash flow. The fine Grind mill is operating well and increasing recovery by 2%. Development of the new war zone called [Bears] started, and 18 kilometers of drilling was completed both near mine and on regional tenements with positive results delivered in new areas as Denmead, Killarney and Imperial. A strong quarter of 23,000 ounces at minus $614 an ounce AISC and cash flow of $52 million following on from $47 million last quarter. Mine and mill production were above plan. Edna May, production was 21,600 ounces at AISC of A$1,588. The sale of Edna May was completed on the 3rd of October. In summary, a very satisfying start to the financial year with record production of 220,000 ounces and cash flow of A$158 million. Stage H of Cowal has started well and construction of the Float Tails Leach begins next quarter. Drilling programs are continuing at all sides as we continue our operational growth program and we aim to extend our record of successfully increasing mine life. And throughout the organization we continue to challenge and support our employees to develop further value-add and growth projects. Thank you. And I will hand it over to Glen.
Glen Masterman : Thank you, Mark. And good morning. We finished the quarter with a number of very appraising results particularly from our Cowal and Mungari operations. Importantly our discovery teams have sustained the positive momentum developed in FY17 which we look forward to continuing in the quarters ahead. At Cowal drilling was directed at testing potential extensions of near-mine satellite resources. Three deep holes were completed at E41 West to the south of the E42 pit. Holes were oriented perpendicular to previous joints to better capture a more optimal orientation on the south pitting vein set. Positive results were received in all three holes as illustrated in figure 2 on page 11 of this morning’s report. The highlight was hole 2802 which returned 139 meters grading 1.2 grams per tonne. Follow-up drilling is expected to commence soon to better enable -- or to enable a better understanding of the geologic controls on gold mineralization and discuss the full potential of this new zone. Two holes were also completed along the Galway-Regal E46 corridor east of E42. Results confirmed mineralization extend along the structural content separating diorite and underlying andesitic volcaniclastic rocks. Figure 3 on page 12 of the quarterly report illustrates two intercepts along both edges on the structural zone where we have encountered strong grades over good thicknesses. Further drilling is planned later this quarter to extend an infill on those new results. Our recent results at Cowal had served reinforce our belief in this highly prospective gold camp. Our site geologists are excited about the recent results which we feel are indicating we may only be scratching the surface in terms of Cowal’s full resource potential. The aggressive exploration campaign continued at Mungari with over 45,000 meters completed across 14 targets. Follow-up drilling at Lady Agnes in the Ora Banda camp north of Mungari has returned strong intercepts in step-out holes. The highlight for the quarter was 4 meters grading 60.2 grams per tonne in the main oxidized shear zone. Additional drilling has been completed to assess continuity of grade along a 200-square meter section of the structural corridor. Further holes are planned to test the potential for strike extensions west of the current work. Drilling continues at the north end of White Foil testing for extensions of the favorable quartz gabbro host beyond previously reported drilling. The results which are reported on page 15 of the quarterly highlighted mineralization remains open down punch under the cap of sovereign salt, sovereign fault. A program of infield drilling recently commenced to verify continuity of mineralized action ahead of a resource update expected in the June 2018 quarter. Follow up drilling at Burgundy located 20 kilometers Northwest of the Mungari plant concerned extensions of high grade encountered below the resource shell at the south end of the target. The latest result of 14 million starting at 7.9 grams per ton pulls mineralization 50 million up of the original high-grade result reported last quarter. Mineralization remains open down pit and a long strike. At Cracow, underground drilling continued to produce strong results from the Colonial Imperial structures. Increasingly, a number of high grade intervals as illustrated on Page 17 are expected to add to resources at Imperial. The results in Killarney have concerned continuity of high grade and will being incorporated in our year-end MRR update. Lastly, we continue to advance on our two exploration joint ventures at Tennant Creek and South Gawler. A drilling program is expected to commence in November on the Gecko/Goanna target at Tennant Creek, which will enable evolution through this stage 1 interest in the joint venture properties. At South Gawler, a detailed gravity survey was completed and will be integrated with results of surface chemistry to develop drill targets to be started early in 2019. With that, I’d like to hand over to Lawrie.
Lawrie Conway: Thank you, Glenn and good morning, everyone. As we have heard from Jake and Mark, the September quarter was an exceptional one and those results have flowed through to our cash and financial position. A summary of September quarter’s financial performance is provided on pages 8 and 9 of the quarterly report. I’ll touch on the performance for the quarter and provide some outlook into the December quarter as well as the full year. On an operating cost basis, our EBITDA margin excluding Edna May has increased to around 54% up from 49% in FY’17. The record operating cash flow of 210 million was almost 5% higher than the June quarter despite the achieved gold price being around 3% lower while sales of all metals were in line with the last quarter. A higher achieved copper price up 10% was also a positive drive up to the higher cash flow. Net mine cash flow of 158 million was also a record improving on the June quarter by the higher operating cash flow and lower capital investment. The lower capital investment in the September quarter is typical of the first quarter of the financial year and our capital investment program remains on plan and to guidance. To comment specifically on the Ernest Henry cash flow of 52.4 million for the quarter. This clearly demonstrates the value created by the investment in Ernest Henry in it for the first two full quarters of cash flow. We have delivered over $100 million or over 11% of the initial investment within a six-month period. This is a mine life with over 10 years of reserve life remaining. Our group cash flow for the quarter was over 100 million which is equivalent to approximately $0.06 per share or a yield of around 10% based on current share price. Out of this group cash flow we paid $50.7 million for the final FY’17 dividend at $0.03 per share fully franked. On the back of this strong operational performance and in anticipation of sales and proceeds for Edna May, we decided to make another voluntary debt repayment of $40 million to close out the debt facility for the Cowal acquisition. This was a $400 million facility established just over two years ago and now has been repaid approximately three years early. We now have $30 million of debt due this financial year in the June 2018 quarter. The repayment in September also reduced our commitment in FY19 by $20 million to $135 million. At the end of September, we have $342 million in net debt with an unaudited gearing around 13.6%. With the Edna May settlement at start of October this effectively reduces our gearing to around 12%. We have approximately 410,000 ounces hedged at A$1,656 per ounce up to June 2020. On current cash flow projections and balance sheet position we are not planning to hedge any further ounces at this stage. Looking forward and a couple of comments relating to the December quarter and the full year cash flows. The operating cash flow at current spot prices should only be around 5% lower than the September quarter with the current spot prices which are higher than what we achieved in the September offsetting the majority of the impact of the planned lower production. For the full year, we expect still to be able to generate operating cash flow of 15% to 20% higher compared to last year. This will be a very good result when you consider that it will be achieved from lower gold sales at similar average gold price and it will benefit from the higher copper tonnes and higher copper price. This is a reflection of the improvements in the portfolio and quality that we’ve made and the benefits of a diverse suite of assets. Net mine cash flow should be around 30 million to 40 million lower in the December quarter as higher capital investment in Stage H stripping moving full activities, works on the Float Tails Leach project ramps up and all sites sustaining capital gain momentum. From a Group cash flow perspective, the main item in the December quarter will be the initial tax payment related to FY17 which will be $35 million to $40 million. We remain very positive on our financial position and this has been further enhanced on the back of an excellent September quarter. With that, I will now hand it back to Jake.
Jake Klein : Thanks, Lawrie. Our business strategy and approach remains the same as it has been since we set out on the journey of building this business seven years ago. We are now a gold company that will prosper not only when the gold price is going up but one that will prosper through the cycle. A consistent and focused strategy that has been rigorously implemented and which we are not about to deviate from, allows us to now make claim to being a globally competitive, relevant and importantly, very low cost mid-tier gold company. I can confidently say that Evolution is a business that is in great shape. Eddie, with that, will you now please open the lines for questions?
Operator: [Operator Instructions]. Your first question comes from the line of Michael Slifirski of Credit Suisse. Your line is open. Please ask your question.
Michael Slifirski: Yes, thank you. Let’s start with Cowal and the grade outperformance at Cowal. Can you help me understand how that occurs, where it is in your resource modeling, that sort of overlooks the high grade, is it something that you can tighten up in future because I know you had one go at it with the new model. But is it something specific about the area you’re mining or just trying to understand I guess to the extent which the grade outperformance might be sustainable?
Jake Klein : I am going to hand that question over to Mark.
Mark Le Messurier: Definitive answer, difficult at this point Mark but what we’re seeing in the first quarter is higher grade and less tons from the resource model that we’ve redeveloped in December 2016. So overall, ounce is okay against the model but as you might recall, we preferentially tripped a high-grade material at Cowal, a plus 1.2 material. So, as I said, we are getting higher grades than the model predicted but we are putting that material through the plant.
Michael Slifirski: Okay, thank you. So just wait and see I guess, and secondly with respect to Cowal production given that the stage H cut backs I think the commentary suggested there was really not a lot happening in the pit, it was all proof over the pit. What’s the risk to the guidance of sort of interaction between the cutback and mining activity for the balance of the year?
Mark Le Messurier: We believe we’ve taken that into account with the planning Michael. So that was considered during the interaction planning that was going on and when you spoke about it in the approval of the project by the board and we continue to manage that situation but we believe that’s been accounted for in our estimates.
Michael Slifirski: Okay, thanks Mark.
Jake Klein : Just an additional comment to that, I mean the edge cut back and the Dual Leach Project remain on schedule and on budget to our original plans.
Michael Slifirski: Yeah, great. Thank you.
Operator: Thank you very much. Your next question comes from the line of Mathew Hocking of JPMorgan. Your line is open. Please ask your question.
Mathew Hocking : Hi James and congrats on a very good quarter. My question on Cowal as well, perhaps to Glen and maybe Mark. The drilling onA41 it does look very interesting. I just wanted to get an understanding of how far away from the existing resource show the drill hole [indiscernible] and what are the plans going forward to try to infield around that and try and see if there is something larger there that could be either put some strings around. And secondly the question for Mark is, I know that there has been some internal study work done around potential expansion of Cowal plant towards 9 to 9.5 million tons per annum. Was that always based on a single sourcing from E42 plus stockpiles or other scenarios around looking at satellite piece as well. thanks.
Jake Klein : I am going to let Glenn on to it, he is in Adelaide but just before handing over to him, the one thing which surprised me about this result was when I looked at E41 resource there is only 200,000 ounces currently in the resource. So, it certainly gave me a level of enthusiasm that if this really is a new significant zone of mineralization. It could add a different dimension to Cowal.
Mathew Hocking : So, Mathew if I just draw your attention back to Figure two on part-11 of the report, what you’ll see the three new holes that have been drilled and then a purple shaded area which really is referencing the volume if you like of the existing block model and you can see the drill traces there which are predominantly are in it, in a perpendicular direction to the three recent holes. And what we’ve started to understand is that there are multiple orientations of vein sets there. At a shallow level, the early drill program was predominantly drilled east and west to pick up the west dipping vein set, if you like. But what we hadn’t done was optimally positioned any drilling to pick up the south dipping set, and that’s what we are starting to see in those three drill holes. And it looks at this early stage, that they are disconnected in a separate zone of mineralization. We need a bit more drilling to be done in order to sort of more fully understand the controls on grade distribution. That drilling is starting -- it's imminent and we think we need two or three more holes just to better understand exactly what we’re dealing with. The mineralization looks very similar to what we’re seeing already in sulfide zone at E41 West, but it looks like a host rock is a different intrusion. So that’s also something else that we need to consider in our modeling as we go forward.
Mathew Hocking : And when do you plan to do the extra holes, to better understand?
Glen Masterman: I believe we’re starting either today or tomorrow. So that drilling as I’ve said is imminent. So, it will get going quickly.
Jake Klein : I need to just correct, sorry Matt, I’m just going to say just before handing over to Mark to answer your question around throughput, I need to correct myself and that it’s 400,000 tonnes -- ounces that was in E41, it’s not the 200,000 ounces.
Mark Le Messurier: Mark here. The 9.5 million tonnes that study we based on existing reserves for E42. So, we want to make it fly based on that and we aim to complete that study by the end of this financial year. So, we believe any additional fee beyond that including E41, 46 and Galway-Regal will be bonus.
Mathew Hocking: It's all upside, yes.
Mark Le Messurier: Yes.
Operator: Thank you very much. Your next question comes from the line of Jim Pollock of Surbiton Associates Pty. Please go ahead.
Jim Pollock : Thank you. And good morning, everybody. Three quick questions. Jake, you referred to building up your overseas shareholders, I wonder if you can give me an idea of the current level of overseas ownership of Evolution?
Bryan O'Hara: So, Jim, Bryan O'Hara speaking. In North America, for example, we have been very focused there. We’ve spent between -- the team here, we spent the month of September in North America. If you go back six months, we had around 19% of our register was based in North America. That equates to around 25% over that period. We’ve got a strong representation in the UK and Europe with at around 7% which is a reasonable amount for that part of the world for us. But still lots of upside opportunity there that we see.
Jim Pollock : So, if I add 7% and 25% together, that gives me -- how much for the rest of the world?
Bryan O'Hara: 2% or 3% in Asia and we’ve also got a cornerstone shareholder at 20%, 21% in La Mancha.
Jim Pollock : Alright. Yes, yes, good, okay. Alright, okay. Second question, Mt Rawdon, what proportion of the ore feed comes from the open pit and what comes from stockpiles?
Mark Le Messurier: Jim, really, we met -- last year we largely met production through feed from the pit. The previous year, we drilled down on stockpile and that our was lower production year. So, we are owning to make production from the mill pit.
Jim Pollock : Right, how much -- how many times or how many years milling have you got left in the stockpiles?
Jake Klein : So, the mine I’ve got is about 2026 at the moment. So, 900,000 ounces in reserves.
Jim Pollock : Right, good okay. And finally, I know there is a bit of a [indiscernible] but your comments on the apparent failure of the Western Australian government to increase the gold royalty.
Jake Klein : We’re pleased with the outcome, I think it highlights the need for better consultation between industry and government and there wasn’t any in this case. And if you look at it in the maze production this quarter, the increase in royalty would have had been a significant cost through the cash flow of that operation.
Jim Pollock : Would it have been sufficient to shut the mine down?
Jake Klein : We don’t own it anymore, so I’m not going to comment on that.
Operator: Thank you very much. [Operator Instructions]. Your next question comes from the line of Sophie Spartalis of Bank of America Merrill Lynch. Your line is open, please ask your question.
Sophie Spartalis: Good morning guys. Just a question on Ernest Henry, how much can we expect the production to be just in terms of the profile going forward? Just in particular to the copper production as well, is that 20,000 to 22,000 tons per year for the 30%. Is that expected to be kind of consistent throughout the life of the mine, if you can just give some clarity for the three years out if possible?
Jake Klein : Sophie if you can bring it back to you on that, the three-year guidance I mean it seems like this mine is running obviously very well and we’re very pleased with the results Genco have delivered a production to date that has exceeded their loan that they’ve put into the due diligence process. Lawrie is happy to answer, give you a little bit of guidance on that.
Lawrie Conway: Slightly for the next three years, it is pretty much in line with last year and this year and as you get to four or five it starts to come off a little bit in terms of the copper but for the next three this is pretty much in line with what we’ve seen today.
Sophie Spartalis: Okay great, and then also for gold, is that expected to remain relatively flat as well?
Lawrie Conway: Yeah, you’ll see a slight dip at year three but nothing material.
Operator: Thank you very much. Your next question comes from Darren Gray of Fairfax Media. Your line is open. Please as your question.
Darren Gray: Good morning everybody. Look a couple of quick questions if I may, the first one I just wanted to ask about was the comment about Australian investors being reluctant to invest in gold mine companies. I think it was probably Jake talking at that point. But just, I’d love to hear a bit of an explanation on why you think that’s the case.
Jake Klein : No, I didn’t say they were reluctant in this. It is obviously a global pool of capital and some of the largest gold funds in the world are in North America. They have had a general underweight exposure to the Australian sector, I think that’s part as a result of the lack of opportunities to invest in the Australian gold sector until recently. I think there’s now a striving of mid-tier Australian gold sector. There are seven companies on the ASX with a market cap of about A$1 billion. So, I think the array of opportunities for international investors have increased. And I think they still remain underweight on Australian exposure.
Darren Gray: Okay. And just a second and final one from me. I like the comment I may just have picked up when I was -- a comment that you might only be scratching the surface of Cowal. And I know it’s been bit of a quantified some kind of already. When you’ll answer that question of mine, just please consider I'm quite a novice at reporting on gold companies. But would just love to hear a bit of an explanation about why that has so much potential?
Jake Klein : Glen, over to you in Adelaide.
Glen Masterman: Thanks, Jake. Look I think if we look back at the history of exploration at Cowal, it was significantly under invested over the last several years of ownership by Barrick. And so, I think what happened was a number of targets that have been previously identified was hot during that period of time. In the time since we’ve owned it at Evolution, we’ve largely focused on adding mine life through drilling and the studies on the Stage H development currently underway. And that really drove the focus for the first 18 months or so of ownership. I think now what we’re starting to understand as we come back and look at a number of particularly the non-satellite resources, they’ve not been fully drilled and closed off so there are still opportunities to expand and understand those resource areas really well. And of course, given their proximity to the plant at Cowal, they are always going to take a priority over some of a more digital type of target. But I think also it’s fair to say that in the Cowal what I would call sort of district exploration potential around Cowal, which we had tied up in our four exploration licenses. There hasn’t been a lot of work done since early phases of work going back 10 or 15 years ago, many targets that have been identified that were not advanced. And so, we see a really large opportunity that drive a strong focus that will enable us to build up a resource profile long into the future where we are starting to become very excited about that opportunity.
Operator: [Operator Instructions]. Your next question comes from the line of Paul Hissey of RBC. Your line is open. Please ask your question.
Paul Hissey : Hi, thank you. I just wanted to ask you a question about the -- two questions, sorry. First one, the resource drilling at Cowal, 270 meters down the hole. What kind of orientation is on the hole? I just wanted to get a feel for where the top of that intercept might be. And can you just confirm as well that, that sits sort of right on the edge of the watercourse there? And then secondly, Lawrie, if you could just perhaps talk to cash tax payments in terms of cash flow modeling, is that effectively sort of six months payments going forward or quarterly? How would you expect to be paying your tax bill? Thanks.
Jake Klein : Glenn why don’t you take the first question first.
Glenn Masterman: So yes, so concerned that the top of the industry at the 139 and 1.2 has started around 270 metres down hole. But what we’re seeing there is staff fitting vein sets, which is one of the predominant fix that I described earlier. And those holes were targeted originally to just capture a better drilling orientation for modeling of those vein sets and what we’ve started to see is that these are all served in a different intrusive base of [indiscernible] and we are starting to develop a concept that we have best keeping vein sets in an overall north funding zone. So, what that contest potentially give us is the ability to step back to the staff again and follow the zone up closer the surface. So that’s clearly what we’re going to be doing with the next round of drilling that’s starting hopefully this week.
Paul Hissey : Yes, and just to be clear that you are sort of right on the cusp of the life there?
Glenn Masterman: Correct, that’s right. It is right on the edge of the life, on the landside obviously.
Paul Hissey : And the other question just about tax Lawrie, cash tax for the quarterly modeling?
Lawrie Conway: Yeah, as I said we have 35 to 40 in the December quarter that we have high and until we submit our FY’17 return which is the first time we’ll be making the tax payments we don’t know what the future ones will be because we will be going on with installments which will be on quarterly installments and what we project at the moment, we probably have somewhere around 5 million in Q3 and 10 million in Q4 but we won’t know the exact ones until we submit our ’17 tax return which will be at the end of this year early next calendar year and we’ll update that at the half year.
Operator: Thank you very much. There are no further questions at this time. I would now like to hand the conference back to your speakers today. Please continue.
Jake Klein: Thanks Eddy and thanks everyone and I appreciate you joining the call and obviously we’re delighted to be able to present quarterly of business quality. Look forward to catching up over the next days and engaging more with you on the quarterly. Thank you.
Operator: Thank you, sir. Ladies and gentlemen that does conclude our conference for today, thank you for participating and you may all disconnect. Thank you.